Operator: Good day, everyone. And welcome to the Destination XL Group Inc. First Quarter Fiscal 2025 Financial Results Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Shelly Mokas, Vice President of Financial Reporting and SEC Compliance at DXL. Please go ahead, Shelly.
Shelly Mokas: Thank you. And good morning, everyone. Thank you for joining us on Destination XL Group's first quarter fiscal 2025 earnings call. On our call today are our President and Chief Executive Officer, Harvey Kanter; and our Chief Financial Officer, Peter Stratton. During today's call, we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release, which was filed this morning and is available on our Investor Relations Web site at investor.dxl.com for an explanation and reconciliation of such measures. Today's discussion also contains certain forward looking statements concerning the company's strategic initiatives and marketing strategies, expectations for comparable sales, potential impact of current tariffs and other expectations for fiscal 2025. Such forward looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the company. Information regarding risks and uncertainties is detailed in the company's filings with the Securities and Exchange Commission. I would now like to turn the call over to our CEO, Harvey Kanter. Harvey?
Harvey Kanter: Thank you, Shelly. And good morning, everyone. As always, we appreciate all of you joining us today for an update on our business, specifically about how we are navigating in this challenging environment and hearing about our performance in the first quarter. On our last earnings call in mid-March, I shared how through the first six weeks of the quarter, our comp sales were down 12.5% and projected that quarter would likely end down in a low double digit comp decline. I am pleased to report that sales performance in the first quarter improved and we ended up with a comp sales decline of 9.4%. This is a small improvement from our thinking in mid-March but we are encouraged by the implications, which we believe at least partially stem from the initiatives designed for greater consumer engagement with the focus on creating greater value and in all cases this is meaningful. We are beginning to see a small improvement in sales from a combination of these strategic initiatives designed to drive value and capture a greater share of demand. In addition, we expect to benefit from easier comp comparisons later as we move through 2025. We expect comparable sales to continue to gradually improve over the year, delivering a single digit negative in the second quarter and a return to a positive comp result in the second half of the year. There are several topics, which I want to update you all on today. But I thought it was important starting with our comp sales performance as we work feverishly to regain our trajectory and ultimately sales growth. A second topic that I expect is at the top of everyone's mind these days is the impact of reciprocal tariffs on our business. As we know, the situation with tariffs is incredibly fluid, volatile and something we continue to monitor in terms of policy changes. However, right now, assuming the current global tariff rate policies and applications do not change for the balance of the year and no new tariffs are added, we estimate the impact to add less than $2 million or approximately 40 basis points to our costs this year. We are leaning into our relationships with our vendors and suppliers around the world and we are working hard to mitigate the impact of those tariffs. So far, our discussions with our private label vendors have been very productive. On the national brand front, we are also having dialogs with our national brands, but unfortunately, we are still in a holding pattern. Approximately 80% of our private label imports are sourced from Vietnam, Bangladesh and India, less than 5% of our imports are sourced in China. And we continue to examine our country of origin source and strategy and what changes can be made to secure the best quality product and at the lowest possible cost. At this point, we have not yet taken any price increases, but that is still possible. We are continuing to assess whether there is enough price elasticity of demand to take market share by keeping constant prices at lower margin versus passing on the impact of those tariffs to the end consumer to maintain our margins but risk losing share. We know there is a sensitivity to price and we are trying to be smart about how we strike the right balance. As I said, the situation is very fluid and we will continue to update you as policy develops. But as of this moment, we have not yet made any changes to retail pricing. For the agenda today, there are two major topics that I want to talk about. First, I want to cover our first quarter results. As I noted earlier, our first quarter sales performance, while softer than we would have liked, surpassed our expectations from the beginning of the year. Our comp sales decrease for the first quarter of 9.4% was driven primarily by lower traffic levels to our stores. In the direct business, traffic became more of a challenge this quarter while conversion was relatively flat. More broadly, average order value was pressured in both sales channels. As we said before, we believe our customer continues to be pressured and he is just not prioritizing spending on big and tall apparel. With that said, I will get into more of the details behind our first quarter performance in a few moments. Second, I want to update you on the initiatives and tactics we are chasing to address the consumers' focus in making purchases and likewise our attempt to improve traffic. As I mentioned on our Q4 earnings call back in March, our strategic focus in 2025 is to stabilize our business and drive the path back to growth. That means focusing on our customers, carefully controlling our costs and being very prudent with how, where and when we invest our capital. More than anything else, we are trying to remain flexible and agile. We have a proven process, structure and discipline in our execution across all our operating channels, which has led to improvements to inventory turnover, careful consideration of promotions and our fortress balance sheet that gives us the confidence to weather the difficult environment. So let me start by getting right into our first quarter results. Comp store sales for stores were down 6.6% while direct was down 16.2%. Comp sales by month improved each month with February down 13.9%, March down 8.2% and April down 7.2%, an element of the March, April results was clearly being the Easter shift. For the first three weeks of May, comparable sales are down just under 10% and consistent with our first quarter results. We believe we are currently managing our business through an economic down cycle. The imperil environment continues to be challenging and our performance does not reflect the opportunity in our total addressable market or the longer term potential for our brand. We believe the broader macroeconomic challenges and consumer sentiment is pushing our customer to hold very tight to his wallet. We have observed many guests who come into our stores being more careful with what they are buying but they still hold a strong affinity for our brands, our fit and the DXL experience. The arrival of Fit Exchange by DXL and Heroes Discount have been a valuable help in building greater affinity for DXL and amongst more price sensitive shoppers. We are seeing less price resistance than we have in the past and are offering our guests even greater value with these initiatives. We continue to hear from customers that they value our quality, fit and services in our stores compared to other big box and off price retailers. Our Net Promoter Score continues to shine and is touching just over 80 in our stores. While he may be trading down from national designer brands, he is pushing more of his spending into essentials, which means lower average price point. We still have a lot of work to do but our customer surveys and their reactions to our marketing initiatives have been positive. I'm going to come back to marketing in a few minutes. In merchandising, the overall sales penetration between designer collections and private label brands has shifted as we've seen the customer trading down across both categories. Historically, our sales penetration into private label ranges on average between 50% and 55%. Last year in Q1, private brands accounted for 55% and this year that rate moved further to 57%. We have more control over our private brand label pricing and supply chain and typically earn higher margins on private brands and national brands. And that shift in mix has helped to offset an increase in markdown rates from select promotions and our marketing initiatives. We experienced a slight uptick in markdowns as more customers gravitated to our two-for pricing offers. We also utilized new markdowns as a result of driving new traffic initiatives, such as Fit Exchange and Heroes Discount. And lastly, clearance markdowns came in higher as a result of shifting the March clearance event into April to align with the Easter calendar shift. We have some bright spots in the assortment, most notably in our Oak Hill and Oak Hill Premium and specifically in the Oak Hill Tech Pants and Tech Shorts, as well as our five pocket cargo pants. Knits and casual shorts had a tougher start to the first quarter but have recovered well as we start the second quarter. Our inventory is in great shape, fresh spring receipts have been flowing into the stores and are available on our Web site, which is setting us up for a great experience with our customers as we approach Father's Day. Inventory management continues to be a shining star and a highlight and is evidence of our operating discipline. Compared to last year, our quarter end inventory was down $5.8 million or approximately 6.4%, while our inventory turnover rate has improved by over 30% since emerging from the pandemic. Clearance levels of 9.5% at the end of the first quarter are in line with our long term expectations of 10%. Last quarter, I also talked about our updates on opening price point strategy. We have developed a more comprehensive opening price point assortment, driven by the strategic intent to lower barriers of entry rooted in our consumer research, brand tracking and real time shifts in buying behavior. Our goal is to enhance value with our offering and the perceived overall value of DXL for consumers. Lower prices address the entry barrier by expanding our range of merchandise at opening price points across items relative to our assortment. Last month, we launched Dickies and Haggar. So far, results for Dickies have been in line with our expectations and Haggar has exceeded our expectations. We are supporting both brands with targeted marketing, messages including homepage, email and social content. And we have also expanded our Big and Tall Essentials offering online as well as just launched Perry Ellis last week. In stores, the narrative from fiscal 2024 has continued into the start of 2025. Traffic to stores accounts for approximately 90% of the comp sales decline. I'm happy to report that we opened two more white space stores in the past quarter with new stores in Roseville, California and Salt Lake, Utah. Our third and fourth store opened in May in Syracuse, New York and Hanover, New Jersey, and this brings the total number of new DXL stores that have opened in the past three years to 14 new markets. Finally, we expect to open four more stores later this year, bringing our total to 18 before we pause new store openings to focus on stabilizing our core business and preserving cash flow. Performance in our new stores has been challenging. Similar to what we are seeing in our existing store business, we believe the low awareness of our brand is creating greater short term challenges in successfully ramping traffic to the newly opened stores. New stores have not seen the level of traffic we initially expected but we believe there is still much room to grow. We believe it is more appropriate to resume store development when we can support it with a brand awareness campaign. While opening the new stores in a down cycle has been difficult, in time and with more brand awareness, we still expect these stores will be able to achieve their potential. And I now want to touch on marketing strategies, initiatives and tactics that we are chasing to correct the traffic decline. Three initiatives and projects are aimed at enhancing our market position and delivering exceptional value to our customers, and I will talk you through each and they include, the role of strategic promotion, our new loyalty program and the early results and the replatforming of our commerce operation. First up is our use of strategic promotion. Given the sector softness that persists, we believe that to garner a greater share of the big and tall market, we must continue to leverage promotion to entice new customers, incentivize current customers to shop more often and finally, reactivate those who have not shopped with us for some time. We are deploying a two pronged approach that we believe addresses these objectives. The first pillar in our strategy is always on value. This includes everyday value driving initiatives targeted at specific customer cohorts that can be used when they are ready to shop. We are purposely trying to avoid store wide and site wide promotion and instead are deploying strategic offers intended to increase customer acquisition, drive frequency of visits and provide customers with a higher degree of assurance they're getting a great value when they shop at DXL. In March, we introduced our Heroes Discount, an active military first responder, teachers and veterans program that celebrates their service to our country and our communities and rewards them with a special offer. The Heroes Discount is attracting new customers and reactivating lapsed customers at a greater rate than transactions without the offer. Additionally, customers using the offer are spending almost 10% more than average AOV in the company. Second, in response to research we conducted on GLP-1 usage and insights around the challenges the big and tall man faces both on and off his weight loss journey, we introduced the Fit Exchange by DXL in early Q1. Fit Exchange facilitates the in store charitable donation by our customers of clothing which no longer fits to help others in need. In return, the customer receives a 20% discount on his in store purchases on that visit. Our own primary research showed us that 50% of men using GLP-1 drugs prefer to donate their old clothes, which no longer fit. The results to date have been very strong and we are excited to see the response. Customers utilizing the Fit Exchange program are shopping 51% more often and delivering an AOV at 39% higher along with a 29% higher UPT versus the company average. Additionally, these customers are spending more year-over-year than they did in the previous 12 months. And finally, 26% of the customers in this program were new to file and reactivated customers. Finally, we introduced the price match guarantee program late last year, providing our customers with peace of mind that they will always get the best price at DXL, leading to a 12 point improvement in value perception that was confirmed in the latest brand tracking study survey. The second pillar involves the surgical use of targeted promotions by leveraging our customer segmentation data. We continue to mine actionable insights from our DXL database regarding the customer segments, helping to further define shopping behavior and how to further craft unique tactical elements of promotion. This will enable us to deliver more personalized communication focused on specific brands and categories to those customers who want them. To better engage our best customers and drive greater spending and repeat traffic, we launched our new loyalty program in Q1. We believe this program can deliver meaningful impact leveraging insights by customer type while also incentivizing greater acquisition for the program. Early returns have surpassed expectations with membership acquisition ahead of our Q1 forecast by 46%. Sales per member are impacting our old program and outpacing it, and we are seeing strong sales per certificate dollar redeemed at 88% on a year-over-year basis. This metric gives us much to be excited about as the program continues to ramp with new members. And finally, as you may recall, one of the drivers of the new program was to have healthier distribution of customers across the different tiers to balance spend. We are achieving this with our best customers in the top tiers and most of the membership in the base tier. Next, I would like to provide an update on our Web site replatform project. If you recall, for the better part of the past year, we have been migrating our site from ATG to commercetools. This migration was completed at the end of March and we remain focused on enhancing the site experience during the balance of 2025. Initiatives will include easier shopping enabled by AI, easier payment with additional buy now, pay now later options, as well as evolve product search and discovery with increased personalization. We believe all this work coupled with greater agility and capability of the new platform will benefit our customers and improve the site experience and conversion. Before I turn it over to Peter, let me give you a quick update on Nordstrom's marketplace. We first went live on Nordstrom's online marketplace back in June of 2024. We now offer 37 brands and over 2,200 styles to choose from and our assortment continues to expand with new arrivals added frequently as fresh inventory flows in. We are excited for Q2 as we have finalized our marketing plans in collaboration with Nordstrom. We are optimistic that this marketing boost will help customers discover our big and tall assortment and its added exposure will be key to driving demand. The plan supported by Nordstrom's includes personalized content, email campaigns and in store training to direct customers to our online presence of the big and tall assortment. Key merchandise drivers of the business include Polo as well as private brands, such as Harbor Bay and Oak Hill, but we have also resorted to see some traction with Vineyard Vines, Brooks Brothers and Reebok. DXL will also participate in the Nordstrom anniversary sale, which will be a key event for exposing more Nordstrom customers to the DXL Big and Tall brand. I also want to mention the collaboration we recently launched with TravisMathew, like what we did with UNTUCKit and Fit by DXL. TravisMathew is a brand and collection that is inspired by Southern California's laid back yet active lifestyle and with each design driven to achieve the perfect balance between innovative design and superior style, and now DXL offers us exclusively for the big and tall consumer. The offer will maintain our Fit by DXL unique sizing to provide superior comfort and sportswear capable of fitting in while standing out and that is what we are all about, fit. I'll close out my comments with a few words about a topic that is creating a lot of buzz in our organization. We have licensed proprietary and exclusive technology, which we named FitMAP. We believe FitMAP has the potential to redefine our retail experience. Guests at DXL can scan their body, measurements come off using an iPad in the dress room and then use those measurements to secure a better fit. Our ambition and ambitious vision for FitMAP is to elevate the big and tall shopping experience by enabling our guests to use their DXL digital body scan across various platforms. We are committed to integrating FitMAP technology into our everyday practices both in store and online, while forging new strategic alliances with other leading retailers, allowing the guests to easily access and shop for DXL products and obtain perfect sizing. Our FitMAP customers also have the capability to order custom suits and sports coats specifically designed for our big and tall customers. So far, we have scanned over 20,000 guests and implemented FitMAP technology in 52 stores with a plan to end 2025 with 85 stores and to further expand this to as many as 200 stores by the end of 2027. Our exclusive rights to this technology lasts until 2030, which is a big win for DXL. Our store associates have adopted this technology to size guests accurately and fit it into our ready wear apparel. Our data shows that scanned guests tend to have a higher average order value, greater customer value and shop more frequently. I will talk more about FitMAP on future calls, but safe to say this is something we truly are very excited about. And with that, I'm now going to turn it over to Peter for a review of our financials. Peter?
Peter Stratton: Thank you, Harvey. And good morning, everyone. I'll start with some additional color around our first quarter financial performance. Net sales for the first quarter were $105.5 million as compared to $115.5 million in the first quarter of last year. The decrease in net sales was primarily due to a decrease in comparable sales for the first quarter of 9.4%, partially offset by an increase in non-comparable sales from new stores. As Harvey noted, sales trends improved month-over-month with comparable sales down 13.9% in February, down 8.2% in March and down 7.2% in April. Overall, the first quarter decline was consistent with the sales trend in fiscal 2024 as customers continued to pull back on discretionary spending and shifted toward our private label merchandise and value driven brands, which sell at lower average unit retails but generate higher margins. Our gross margin rate inclusive of occupancy costs was 45.1% as compared to 48.2% in the first quarter of last year. The 310 basis point decrease was primarily due to a 280 basis point increase in occupancy costs as a percentage of sales due to the deleveraging from lower sales and increased rents from new stores and lease extensions. Merchandise margins decreased by 30 basis points as compared to the first quarter of last year, primarily due to an increased markdown rate from the promotional offers and marketing initiatives that Harvey spoke about, partially offset by the benefit from the shift in product mix towards private label. In response to the tariff situation, we accelerated some of our inventory receipts to get them on the water before the tariffs took effect. We feel very good about our inventory position, both in terms of total inventory balance at the end of the quarter and in relation to our turnover rates as well as our clearance levels. We continue to prioritize inventory management, which is a critical element of providing the best big and tall shopping experience possible. Moving on to selling, general and administrative expenses. Our SG&A as a percentage of sales increased to 45% as compared to 41.1% in the first quarter of 2024. The deleveraging rate was based entirely on our lower sales levels as on a dollar basis SG&A expenses decreased by $100,000 as compared to the first quarter last year. The dollar decrease was primarily due to a decrease in marketing and incentive based compensation, partially offset by an increase in store payroll and healthcare costs. Our average sales ratio for Q1 decreased to 6.1% from 6.3% in Q1 of last year. For the full year, we expect to spend 5.9% of our sales on marketing costs. As a result of the foregoing discussion, the decrease in sales had a significant impact on our EBITDA for the quarter, which came in at $100,000 as compared to $8.2 million for the first quarter of last year. I'll finish up with a few notes on liquidity. We continue to feel very good about the overall strength of our balance sheet. We finished the quarter with cash and short term investments of $29.1 million as compared to $53.2 million a year ago with no outstanding debt in either period and availability of $77.1 million under our revolving credit facility. The decrease in cash from a year ago includes the repurchase of 13.6 million shares of stock over the past 12 months. With the seasonal build of inventory and payment of prior year incentive accruals, Q1 is typically a quarter with a net cash outflow. This quarter, our free cash flow, which we define as cash flow from operating activities less capital expenditures was a use of $18.8 million of cash as compared to a use of $7 million in last year's first quarter. Most of that decrease was driven by our lower earnings and the timing of payables associated with the acceleration of inventory receipts in the first quarter. We continue to keep our excess cash invested in short term US government treasury bills to earn interest while preserving liquidity. Our fortress balance sheet gives us the ability to weather the short term economic challenges we are facing. We remain focused on executing our growth strategies and executing our business with a high level of operating discipline. Now I'm going to turn it back over to Harvey for some closing thoughts. Harvey?
Harvey Kanter: Thanks, Peter. I'll close with this statement and while it may seem like a broken record, our team and the people of DXL are part of our secret sauce. Given this, as always, I remain energized by the dedication and the passion of the entire DXL team to serve the underserved big and tall consumer. None of this would be possible without the hard work and dedication of all of our people in the stores, in the distribution center, in the corporate office and the guest engagement center. It is because of this talented team and the culture we've created that I want to get up every morning and keep moving on this journey. Thank you for all your hard work and commitment in pursuit of serving big and tall men and making DXL the place where they can choose their own style and wear what they want. And with that operator, we will now take questions.
Operator: [Operator Instructions].
Harvey Kanter: Operator, if there's no questions, we will wish everyone on the call a good summer, and look forward to regrouping with everyone in August, late August when we have our next quarterly earnings call.
Operator: We do have one question. It is coming from the line of Will Forsberg of Craig Hallum [Operator Instructions]. And now there are no more questions in the queue. I would like to turn the call back over for closing remarks.
Harvey Kanter: We appreciate everyone's interest in DXL and look forward to a wonderful summer and continuing our move back to growth. And look forward to talking to you all in August. Thank you so much. Have a wonderful summer.
Operator: Thank you all for participating in today's conference call. You may now disconnect.